Operator: Ladies and gentlemen, welcome to the CareCloud Second Quarter 2024 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to Kristyn [ph]. Thank you. You may begin.
Unidentified Company Representative: Good morning, everyone. Welcome to CareCloud's second quarter 2024 conference call. On today's call are Mahmud Haq, our Founder and Executive Chairman; Hadi Chaudhry, our Chief Executive Officer and Director; Stephen Snyder, our President; and Norman Roth, our Interim Chief Financial Officer and Controller. Before we begin, I would like to remind you that certain statements made during this conference call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. All statements other than statements of historical fact made during this conference are forward-looking statements, including, without limitation, statements regarding our expectations and guidance for future financial and operational performance, expected growth, business outlook and potential organic growth and acquisitions. Forward-looking statements may sometimes be identified with words such as will, may, expect, plan, anticipate, upcoming, believe, estimate or similar terminology and the negative of these terms. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties, many of which are beyond our control, which would cause actual results to differ materially from those contemplated in these forward-looking statements. These statements reflect our opinions only as to the date of this presentation, and we undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our press release and our reports filed with the Securities and Exchange Commission, where you will find a more comprehensive discussion of our performance and factors that could cause actual results to differ materially from these forward-looking statements. For anyone who dialed into the call by telephone, you may wish to download our second quarter 2024 earnings presentation. Please visit our Investor Relations site, ir.carecloud.com, click on News and Events, then click IR calendar, click on second quarter 2024 results conference call and download the earnings presentation. Finally, on today's call, we may refer to certain non-GAAP financial measures. Please refer to today's press release announcing our second quarter 2024 results for a reconciliation of these non-GAAP performances measures to our GAAP financial results. With that said, I'll now turn the call over to our CEO, Hadi Chaudhry. Hadi?
Hadi Chaudhry: Thank you, Kristyn, and thanks to all of you for joining our second quarter 2024 earnings call. I'm very pleased to announce that we're turning the corner in our pivot towards improved profitability as our net income, free cash flow and related metrics are all moving strongly in the right direction, even with lower nonrecurring professional services revenues, enabling us to pay down $7.5 million on our credit facility to date this year. You will hear more about this from Steve and Norm, but everyone is doing a great job generating cash each month instead of using cash as we were last year. Repaying our debt is a priority for us and is a key step to being able to restart the dividends on our preferred stock. High-level focus has been on reducing expenses and improving profitability for the first half of the year, and this will remain a focus in the second half. We are starting to turn some attention to growth, which I know investors have been waiting to hear about. On our last earnings call, I talked about addition of new generative AI product called CareCloud CirrusAI notes. Today, I'm pleased to provide an update on the progress of CareCloud CirrusAI notes, which has now been deployed at a small subset of our existing clients. Our pilot users have reported significant improvements in the efficiency and accuracy of clinical documentation. The [indiscernible] technology, embedded within CareCloud CirrusAI notes has proven effective at capturing and transcribing crucial dialogue during patient interactions, producing precise clinical notes in real time. As part of our rollout strategy, we offered a 30-day risk-free trial with these initial users, allowing them to fully explore the capabilities of CareCloud CirrusAI notes. The feedback has been overwhelmingly positive, with users highlighting the seamless integration with their existing workflows and the time-saving benefits of real-time transcription. After the completion of the trial period, CareCloud CirrusAI notes will be available at a competitive license fee of $199 per provider per month. This pricing structure reflects the value that CareCloud CirrusAI notes brings to enhancing provider efficiency and patient care. We're confident that this offering will continue to gain momentum as more practices recognize the tangible benefits of integrating AI into their daily operations. We have started to recognize revenues from this product in quarter three of 2024. Even though it's a very small number at the moment, we anticipate significant growth as adoption increases and more practices begin to see the value it brings to the operation. One of our early adopters which seven medical providers commented, "I'm used to using dictation devices, but we are very basic clinic. So I was trying to look for any way to make our workload easier. I found that CareCloud AI tools are very efficient when it comes to dictation. Instead of me trying to figure out where information should go in the chart, as I'm talking to the patient, this software automatically puts everything where it needs to be, and it's been amazing. It will add suggested codes based on the encounter. I'm still learning the nuances of this program. But so far, I'm enjoying it. We are saving a lot of time on the back end." In conclusion, we remain committed to advancing health care technology through innovative AI solutions like CareCloud CirrusAI notes. As we expect CareCloud CirrusAI notes to a broader audience, we anticipate continued growth and adoption, driving value for both our clients and shareholders. Now let's turn our attention to our revenue growth. In this quarter, we have continued to capitalize on our diversified client base, which spans multiple market segments, including hospitals and medical practices of all sizes. This diversity not only stabilizes our revenue streams, but also unlock significant upsell and cross-sell opportunities. With our proprietary comprehensive suite of integrated products and services, we're uniquely positioned to offer tailored solutions that meet the evolving needs of our clients. This strategic approach allows us to deepen relationships, enhance client retention and expand our footprint within each segment, driving both top line growth and long-term value for our stakeholders. Things from cross-sell and upsell initiatives have doubled compared to the same period last year. We expect recognized revenue from these bookings to be approximately 50% higher in 2024 than last year. In Q2, our CareCloud Wellness program, including chronic care management and remote patient monitoring saw a remarkable 154% year-over-year revenue increase, exceeding $1 million in recognized revenue for the first time in a quarter. Most of this revenue is derived from upselling within our existing client base. We see tremendous opportunity in this solution and are committed to further expanding this revenue stream. It has taken a long time for patients to recognize the value that our health care providers recognize immediately. And we think use of this program will improve patient health and simultaneously control health care costs by identifying issues earlier before they get more serious. This year marks a pivotal transition for us, during which we have already reached significant milestones in fortifying our financial position and establishing a strong foundation for the future. Our primary focus remains on growing our positive free cash flow, which is crucial, not only covering operating expenses, but also for paying down our credit line and eventually resuming preferred dividends. We have made considerable progress towards these goals and are fully committed to maintaining this positive trajectory. As we look ahead to 2025, our focus will shift back towards driving growth. Our goal is to deliver consistent year-over-year revenue increases, while enhancing profitability. We are confident that this growth will be fueled by multiple channels, including new sales, cross-sell and upsell opportunities, the continued innovation of our fully integrated AI solutions and the expansion of our CareCloud Wellness program. Additionally, we plan to leverage our strategic partnerships, enabling our industry players to utilize our white table technology solutions and our highly skilled global workforce. Finally, we aim to capitalize on our extensive high-quality health care data set to support life sciences companies, health care providers and payers. We will share more details on our growth strategy during our next earnings call. I will now turn the floor over to Steve. Steve?
Stephen Snyder: Good morning, and thank you everyone for joining us on today's call. As a team, we are making great progress at accomplishing our objective of transforming our cost structure. With this transformation, we are achieving our goal of increasing our free cash flow, which will enable us this year to eliminate the entire balance on our credit line, which was $10 million at the start of the year, and move us closer to resuming dividends. Our revised cost structure will position us to further expand margins as we've been heavily into revenue growth during 2025 and beyond. Over the last three quarters, we have identified more than $26 million in annualized cost savings. Of this $26 million in savings, we expect to realize a reduction to our 2024 in-year expenses of approximately $20 million. We're achieving these savings through a three-pronged strategy. First, we are strategically deploying our proprietary technology, enabling us to reduce costs, while accomplishing day-to-day tasks in a more systematic, effective and repeatable manner; second, we have continued to reduce our reliance on third-party contractors, leveraging our in-house expertise at a small fraction of the cost of the prior third-party contractor costs, while also increasing our control and reducing the natural risks that come with relying on third parties to handle critical business functions. And third, we have leaned further into our core strength of our global business model, strategically leveraging our most effective and cost efficient resource for each discrete process, thereby enabling us to both increase our overall bandwidth, while simultaneously reducing the associated costs. In summary, this cost transformation has been made possible for our use of CareCloud's proprietary technology, eliminating expensive third-party relationships and embracing the strength of our global model. During the first half of 2024, we were pleased to realize significantly improved year-over-year free cash flow and a large increase in cash provided from operations. And we turned our GAAP net income from negative depositors for the first time in two years. Our team's decisive actions are beginning to yield fruit, and we're excited to see that our financial transformation is well underway. On a separate front, as we have communicated before, we distributed a special proxy to all Series A preferred shareholders recommending the approval of certain important changes to the terms of our Series A preferred stock. If approved, holders of Series A preferred stock will be placed on a more equal footing with Series B shareholders, having similar protections in the event of a change of control and equivalent dividend rights. Further, the company would have the right to exchange common stock for Series A preferred shares, as more fully described in the proxy materials that we filed with the SEC. The initial response of the Series A preferred shareholders has been overwhelming and unambiguous. More than 85% of proxies returned to date have been in favor of the amendments. The support has been shared by Glass Lewis, a leading proxy vote advisory firm that analyzed our proposal and recommended that shareholders vote for the changes. While level of support has been strong, we still need the affirmative vote of at least two-thirds of all outstanding shares, a challenge for even a popular proposal like this one, given a fragmented retail ownership base. Therefore, we encourage Series A preferred shareholders to take the time to read the proxy materials and then let their voices be heard. I'll now turn the floor over to our Interim CFO, Norm Roth. Norm?
Norman Roth: Thanks, Steve, and thank you all for joining our call today. I would like to start by talking about our positive GAAP net income and cash flow, which I am sure are welcome news for investors. Second quarter of 2024 was our first quarter with positive GAAP net income since 2022. During the six months ended June 30, 2024, we generated $8.3 million of cash from operations and $4.9 million of free cash flow. We were able to use the profits and cash flows we generated to repay 75% of the balance on our Silicon Valley Bank line of credit as of today. As of June 30, 2024, we had repaid $5 million of the January 1 balance on our line of credit. Since June 30, we repaid an additional $2.5 million, bringing the balance from $10 million on January 1 of this year to $2.5 million today. This means we have much more financial flexibility. In the second quarter, we reported revenues of $28.1 million. While down $1.3 million year-over-year, $1 million of the decline was due to medSR, which is a project-based professional services business that tends to fluctuate, medSR had softness since the second half of last year, which is continuing, but we are hopeful that we will see some growth in the second half of 2024. However, CareCloud Wellness generated over $1 million in revenue for the first time this quarter and is up by $1.1 million for the first six months this year compared to 2023. Our direct operating costs continued to decline, and they are down by nearly $2.2 million from Q2 2023. Our operating expenses, including G&A, R&D and sales and marketing expenses, decreased by $2.9 million. On an annual run rate basis, these operating expenses are already down over $20 million since Q1 2023. In the second quarter, we reported positive GAAP operating income of $2.3 million and GAAP net income of $1.7 million, both the highest amount since Q2 2022. This compares to a GAAP operating loss of $1.3 million and a GAAP net loss of $1.8 million during Q2 2023. The GAAP net loss per share was $0.14 based on the net loss attributable to common shareholders, which takes into account the preferred stock dividends earned whether or not they were declared or paid during the quarter. This requires a little explanation. Even though by definition, GAAP net income has always shown before dividends and only dividends, which have been declared by our Board of Directors are recorded on the balance sheet, the GAAP net loss per common share calculation reflects the dividends that accumulate monthly, whether or not these dividends were declared or paid. Non-GAAP adjusted net income for the second quarter 2024 was $3 million or $0.18 per share, calculated using the end-of-period common shares outstanding. We reported adjusted EBITDA of $6.4 million in the second quarter compared to $3.8 million in the same period last year. This is our highest adjusted EBITDA since the second quarter of 2022. Revenue for the first six months of 2024 was $54.1 million compared to $59.4 million in the first six months of 2023. Of the $5.3 million decline, $3.3 million was attributable to medSR. For the first six months of 2024, the company's GAAP net income was $1.4 million compared to a GAAP net loss of $2.2 million in the first six months of 2023. This equates to a loss of $0.24 per share after subtracting the preferred stock dividends earned but not declared or paid. Non-GAAP adjusted net income for the first half of 2024 was $3.2 million or $0.20 per share. Year-to-date, adjusted EBITDA was $10.1 million, an increase of $2 million from $8.1 million in the same period last year. As of June 30, 2024, the company had approximately $2.6 million of cash. Net working capital was $674,000 and we had $5 million drawn on our line of credit. As previously stated, since June 30, we repaid an additional $2.5 million on the line, bringing the balance to $2.5 million today. Now that we're not dependent on our SVB line of credit, the company is considering reducing the total size of the line of credit from $25 million to $10 million. This would save us fees on the unused portions of the line that still provide the company with ample liquidity in the event there is a cash need. The second quarter results puts us on a good footing for the year ahead. We're happy to have returned to profitability and look forward to updating you later in the year. With that, I'll now turn the call over to Mahmud for his closing remarks.
Mahmud Haq: Thank you, Norm. We are very pleased with the great improvement in profitability that we have achieved. Our primary focus is on creating long-term value for our shareholders. I would like to thank our employees, our customers, and shareholders for their continuous support in furthering CareCloud's mission. Operator, please open the floor for questions.
Operator: Thank you. Ladies and gentlemen we will now be conducting a question-and-answer session. [Operator Instructions]. The first question is from Jeffrey Cohen with Ladenburg Thalmann. Please go ahead with your question.
Unidentified Analyst: Good morning. This is Stephanie [ph] on for Jeff. I just had a few quick questions. Maybe I'll start with your comments around contractors versus in-house. And I'm wondering what percentage now of your operations is through contractors? And what percentage is now in-house?
Hadi Chaudhry: Okay. Stephanie, good morning. Thank you for the question. And just a little clarification then I turn it over to Steve. So when we talk about contractors it was -- there were one or two very specific contractors on the IT side, which were being used by the CareCloud acquisition that we did, the CareCloud that's part of us now. So it's not at any operational, the RCM side of the thing. There were some very specific niche areas on the technology development side for which we were using the contractors, which took us a little more time than usual to transition to our workforce. So in terms of the percent, I'm not sure if Steve or Norm, if you have any -- but Steve, by any chance do you have any specific number for that contractor present?
Stephen Snyder: Not a specific number, but the overwhelming majority of the work being performed is performed by our employees. There's a really minute portion that's being performed, Destiny, by contractors. And as Hadi said, really the contractors that we spoke about were a variety of different subcontractors, some in India, some in Central America and South America that were helping us from an R&D perspective, and they were really a holdover from two prior acquisitions. So as we move forward and we analyze that particular spend, we really came to conclusion that we would be much better off long-term reducing that overall expense, which candidly by moving to our in-house experts, we're able to reduce that expense by about 80%, 85% roughly and also have greater control over the work being performed. So really a positive all the way around.
Unidentified Analyst: Okay. Got it. Yes, that makes sense. And then I'd kind of like to move to your commentary around industry partners, especially moving into 2025. Is the interest largely inbound? Or are you also -- are there also efforts kind of outbound as well, finding potential partners that way?
Hadi Chaudhry: Great question, Stephanie. It's both. So one is we already have multiple channel partners who we work with. So they are either acting as a resellers for us or, let's say, for our CareCloud Force as an example. So there are a number of these partners who leverage our employees. So there is an inbound interest for expansion based on the different marketing campaigns, and then we'll be spending more -- doing some more investment towards an outreach for finding additional partners.
Unidentified Analyst: Okay. Got it. And then I think, historically, if I remember correctly, you've given us kind of a number on the value of your pipeline. Are you able to provide those numbers?
Hadi Chaudhry: Yes. So I think what we have -- Stephanie, what we tried to do going forward is more focused on the recognized revenue, the actual revenue that we are able to generate out of those bookings. But if you just think about the pipeline, right now, the number is about 16 million plus in pipeline, but this number continuously keeps evolving. It keeps adding and removed -- and being removed. But if you just zoom out and think about the possible the way from we think about growing. And the 16-plus million does not include the cross-sell and upsell opportunities. This is all from the new logos perspective. So there's a tremendous opportunity that exists in our existing client base. And that's what I mentioned that this year, year-to-date booking numbers is almost doubled from cross-sell, upsell compared to the same time last year. And even on the recognized revenue basis, it's 50. So we expect this year to be from the first half of the year of the booking. The recognized revenue to be 50% higher than the last year same time. So I won't count too much on that pipeline number. I think if we look at it from the revenue growth perspective, the recognized revenue perspective, that's where I would give more focus to.
Unidentified Analyst: Okay. Okay. Got it. And then when you talk about CirrusAI and the -- I don't want to call it like a beta launch, but the initial users. What is the size -- what are the size of those users? And based on your learnings and early adopter feedback, what would be some of the areas you would deploy AI next?
Hadi Chaudhry: Sure. And so we have -- as I mentioned, we pushed it to a couple hundred, I would say, the existing users, and they are the initial interest for its couple dozen at the moment who have signed up for our -- the 30 days risk-free trial. And we still have to do some work in terms of convincing declines for the real value of the AI and the adoption. So we launched two products from the front end perspective. One was that CirrusAI Guide, which basically recommends the procedure and the diagnosis and this other product was CirrusAI Notes, which basically listened to the dialogue between patients and the doctor and converse that into a chart. So what -- the next product that we are working on next is, and that's also actually we just recently rolled out to at least one of the providers, which is going to provide the best of the both worlds. So that's similar to CirrusAI Notes, it will listen to the conversation, and that conversation then gets converted into the recommended cohort. So we just tried to merge the two applications together to provide the true value. So if you think about it, a patient doctor talking to each other, it extract the information and then based on the prior social history and the historical care plans, also at the same time, recommends and convert their dialogue in not only just the chart, but the suggested diagnosis and procedure codes. So that's the next that we already have started to roll out is just our first provider who have started to use it on the test basis. The same user base who will sign up for our CareCloud Notes, that would be our first set of clients who will be updated to this new version.
Unidentified Analyst: Okay. All right. Got it. And then one last one, I promise. How does M&A kind of fit into your growth strategy in 2025? It sounds like most of the growth is going to be organic. But is there any part of that strategy that is dedicated to M&A?
Stephen Snyder: Good question, Destiny. As we think about growth as we pivot into full growth mode in 2025, we think the majority of that overall growth will come from expanding the existing wallet share of our existing customers and then through partnerships, which you mentioned before. So we have today about 25 partnerships, reseller relationships, primarily with medical billing companies, but we have the opportunity to be able to sell into those existing relationships, things like force, which helps them augment their course and other solutions like CCM and the like. So in terms of being able to take those partnerships and expand those existing partnerships and also to develop other partnerships with other billing companies primarily. There are 1,500 roughly billing companies in the U.S. So we think there's a significant opportunity to be able to partner with them to enable them to be a reseller of our software, and then also to be able to empower them with our force augmentation, so that they can grow in their space and become increasingly profitable. To your question though, in particular with regard to acquisitions, we really do see kind of within this partnership, within this kind of billing company partnership area, we see the opportunity to maybe not engage in traditional -- kind of traditional acquisitions, but to engage in some quasi acquisitions, by which I mean to really enable them to provide our software to leverage our team and to really revolutionize their current -- construct their current business model in such a way that, in many respects, we have the benefits of the acquisition from a revenue perspective and from a cash flow perspective, without actually doing a traditional purchase of the stock. So we'll see as the year unfolds, but we're really committed to continuing to expand free cash flow as the year progresses. And then any of our growth will really be, first and foremost, sort of concentrated on opportunities that we can pursue in a manner that allows us to continue to expand cash flow.
Unidentified Analyst: Okay. Got it. Thank you for all that information. I'm going to go ahead and get back in queue now. Thanks.
Stephen Snyder: Thanks so much.
Hadi Chaudhry: Thank you.
Operator: Thank you. The next question is from Allen Klee with Maxim Group. Please go ahead.
Allen Klee: Yes. Good morning. Great execution. Can we start on medSR? You mentioned continued softness. Some hope for growth in the second half. What's the state of the market there? Is it the competitive environment that some parties are not allowed to use you? Or where do you see the potential to maybe turn things around? Thanks.
Hadi Chaudhry: Thank you, Allen. Good morning. So you're right. I think the industry of the health system, as we all know, is still continue to be dominated by at least one stakeholder and the rest of the market shares between the next two or three other vendors. So we continue to work and expand the relationship with the second and the third into the industry and the market. When it comes to the first dominated player in the market, we still only can do a small piece of the overall services that we could have offered for the other smaller market share vendors. And that one, we started to try to earn that business, since it was completely stopped for us for the last two years. So getting back on track is realistically going to take some time because the projects are already signed and in work. So someone who is looking to get a new project started by the time we even sign up and start to recognize the revenue, it's going to take us a couple of months before we can earn that. But overall, bigger picture for medSR how we think we can grow into that space, which is continue to leverage our technology-enabled RCM solutions and some of these, whether it's an AI-based tools or tools or our BI solutions, how we can cross-sell and upsell into that medSR space. So we continue to -- we will continue and continue to push towards that. And the second thing is expanding our relationship to the second and the third after the first the largest marketing order.
Allen Klee: Thank you. And then you had positive commentary on remote patient monitoring wellness overall. How is that growing as -- it just takes longer with existing customers to get set up where they're get patients compliant and billing? Or is it also from like expanding the number of customers? Thanks.
Hadi Chaudhry: Great. And then actually, it's a combination of both. And as we evolved over the last roughly two years now, into this 1.5 years, two years now for the chronic care management and remote patient monitoring, so as an example, now recently, we have started -- we launched our internal the next generation platform for remote patient monitoring and chronic care management. So now we started to leverage other Meyers to engage the patient instead of just calling the patient. So in addition to calling the patient now we're also trying to engage them through text messages, through e-mails, sending them the training video, sending them the different type of text messages, which whenever the patient has the time can click on it and fill up the forms and then our care managers get involved. So we have overall improved the way we are approaching and trying to engage the patients. So one, it will, yes, even increase the existing patient adoption from the existing clients who already have started to take this service from us. And the second thing, expanding our existing client base the chronic care management -- doing the new sales in our existing client base. In terms of the new logos, we do try to pitch those to the external clients, but this becomes a secondary nature. With the help of this and other hope we try to always sign up for the overall technology-enabled solution, RCM plus SaaS solution and then also provide this chronic care management in a more patient monitoring service. Because for us, the best thing would be to sign up our customer for the full end-to-end services that we can offer chronic care management and remote patient monitoring being one part of it.
Allen Klee: Thank you. Last question on CareCloud CirrusAI. How do you and could you talk a little about how you're thinking about going from a relatively small amount of customers to expanding it broader? Do you feel you have the sales infrastructure to do that? Or how would you approach that? And is it -- how do you feel about the competitive market of affecting decision makers? Thank you.
Hadi Chaudhry: Yes. So -- and if you think about it, until the last let's say, the 30 days on the 60 days before, our first challenge for similar to other AI companies was refining their results, focusing on. So we tried to use our own data, and with the help of the AI technology, leveraged through either Google partnership or other players, how we can leverage our own data plus using the LLMs already provided by whether it's Google or other players. So we kept on refining our applications. And then finally was able to push it out over the -- in the last 30 to 45 days with the existing client base. Similar to any other service and the solution offering we have, our best opportunity exists with the existing client base. We work with 2,600-plus practices and 40,000 providers, including the BI solution clients. So I think there's a tremendous opportunity that exists to expand into the existing client base. So -- and I think AI is becoming one, the top line direct revenue driver. But in addition to that, improving the existing workflows, how the same practice can save time because now the AI is part of their workflows. When you use ChatGPT, the same e-mail can be written in, let's say, 5 seconds compared to 2 minutes. So -- but it's not that you will be driving the direct revenue, but the overall workflow will help improve the revenue of the client. And since most of our clients, we charge them on the collection fee, our revenue will increase. So to answer the question, yes, there is a competitive market out there when you go out and trying to sell pure AI solutions. But for us, if you think about it, our AI solutions is going to improve transcription as an example. The existing client can take the service sign up for the service and the existing EHR system, this solution become part of the existing workflow. So we think that this is one of the differentiation when you compare us to our competitors out there, where they might need to have one separate solution running independently and not fully integrated into their existing platform.
Allen Klee: That's great. Thank you so much.
Hadi Chaudhry: Thank you.
Operator: Thank you. [Operator Instructions]. As there are no further questions, I would now like to hand the conference over to Norman Roth for closing remarks.
Norman Roth: Thank you, everyone, for attending our conference today. Have a great day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.